Operator: Good afternoon, everyone. Before we begin, let me remind you that during this call, management will be making comments and statements regarding its financial outlook, which represent forward-looking statements that involve risks and uncertainties as those terms are defined under the federal securities laws. The company’s actual results may differ materially from those current expectations. Please refer to the risk factors and other cautionary factors in today’s press release as well as the company’s SEC filings for more details on factors that may cause actual results to differ materially. You will also hear management refer to certain non-GAAP adjusted measurements during this discussion. While these figures are not a substitute for GAAP measurements, management will use these figures to aid in monitoring the company’s ongoing financial performance from quarter-to-quarter and year-to-year on a regular basis and for benchmarking against other medical technology companies. Adjusted net income and adjusted earnings per share measure the income of the company excluding credits or charges that are considered by the company to be special or outside of its normal ongoing operations. These adjusting items are specified in the reconciliation in the press release issued this afternoon. With these required announcements completed, I will the call over to Curt Hartman, CONMED’s President and Chief Executive Officer, for opening remarks. Mr. Hartman?
Curt Hartman: Thank you, Latif. Good evening everyone, and thank you for joining us for CONMED’s Third Quarter 2016 Earnings Call. With me on the call is Luke Pomilio, CONMED’s Executive Vice President and Chief Financial Officer. This evening I will provide a brief overview of the financial and operating highlights for the quarter. Luke will then provide a more detailed analysis of our financial performance. After that, we’ll open the call to your questions. In the third quarter, sales totaled $184.8 million, representing an increase of 9.2% compared to the third quarter of 2015. On a constant currency basis, our sales increased 11.2%. Excluding the AirSeal acquisition, organic sales decreased 1% as reported but increased 80 basis points on a constant currency basis compared to the third quarter a year ago. From an earnings perspective, our reported GAAP net earnings totaled $7.3 million, or $0.26 per diluted share, compared to reported net earnings of $8.9 million, or $0.32 per diluted share a year ago. Our adjusted net earnings of $11.5 million decreased 8% year-over-year and adjusted diluted net earnings per share of $0.41 decreased 8.9% year-over-year. In addition to returning to constant currency organic growth, other positive developments in the quarter included: first, General Surgery delivered a solid quarter in both the domestic and international markets. Globally General Surgery organic sales increased 3% as reported and 4.2% in constant currency. AirSeal remained very strong, achieving $17.3 million in global sales for the third quarter. Through the first nine months of the fiscal year AirSeal has recorded $48.5 million in sales. This continues to be a very positive acquisition for CONMED and our customers. Additionally, the domestic Endoscopic Technology business posted its third consecutive quarter of growth, gaining further traction from a combination of new products and the effectiveness of the expanded sales force. International markets at 46.3% of total company sales delivered a second quarter of improved performance with all three reporting segments posting organic constant currency growth. As a result international sales increased 3.7% year-over-year on an organic constant currency basis. Including the AirSeal platform, international sales improved 9.2% on a constant currency basis. Further, our export markets delivered the first quarter of organic constant currency growth in over two years, driven by Japan, Asia and Latin America. The direct markets remained in good shape and again delivered growth on an organic constant currency basis. Overall, we’re starting to see more consistent performance from our International business. This is a result of many – of the many changes we have made, many of which have been mentioned in previous calls. This statement is supported by the fact that our Q3 organic growth was our best performance since the fourth quarter of 2013. Third, during the quarter, we continued to advance our global release of the Edge Bipolar Arthroscopic System, launching it in the U.S., Canada, Australia, Europe, Latin America and Middle East and Africa as well as the majority of Asia. Key markets still pending regulatory clearance for launch include Korea and Taiwan. Ablation performance, simplified SKU offering, real-time intra-articular temperature monitoring and automatic scope saving features have all been quoted as resonating factors from recent conversions. While still early in our launch, we’re pleased with the initial uptake and how the product is resonating with customers. And we look forward to updating you on Edge’s progress in the quarters ahead. Finally, we were notified that the Food and Drug Administration had reviewed our most recent response to the agency and had closed out the outstanding January 29, 2014 warning letter related to our Centennial, Colorado facility. Overall while pleased with the improvement in our underlying organic growth, the stability and improved consistency of the International business and the improving trends across General Surgery, the focus remains on reaccelerating our organic growth further and a return to growth on a more consistent basis. In that, our biggest remaining opportunities are domestic orthopedic business at 19% of total sales, which remains a work in progress. While improved from the second quarter decline, the results still indicate we have a ways to go. Key efforts here include continued focus on new products coupled with our focused efforts on MTF and Sports Medicine as well as the continued development of our capital pipelines. In conclusion, we believe we are gaining traction and have several initiatives involving investments in both people and products that give us optimism as we finish the year. Overall we’re committed to building a sustainable and profitable business that delivers true solutions to the global customer base. I’ll now turn the call over to Luke.
Luke Pomilio: Thank you, Curt. As mentioned, our total sales for the third quarter of 2016 were $184.8 million, an increase of 9.2% on a reported basis and an increase of 11.2% on a constant currency basis versus the third quarter of 2015. Our top-line growth during the quarter was driven by continued strength from the AirSeal system, solid organic growth within General Surgery, and ongoing improvement in our international markets. This growth was partially offset by softness within domestic orthopedics and a notable decline in domestic visualization against a difficult comparable. Domestic sales, which represented 53.7% of our total revenue, increased 13% year-over-year. International sales, which represented 46.3% of our total revenue, increased 5.1% compared to the third quarter of 2015 on a reported basis. Foreign exchange rates, including the effects of the FX hedging program, had a negative impact of $3.4 million on third quarter sales. In constant currency international sales increased 9.2% versus the prior-year period. I will now review our three reporting categories with all growth rates stated in constant currency. Worldwide orthopedic revenue decreased 1.1% in the quarter. Domestically third quarter Orthopedics revenue decreased 3.5% year-over-year. Although this is a sequential improvement, weakness in single-use products offset the rebound in capital sales following a weak second quarter. Internationally Orthopedics revenue increased 0.6% year-over-year as another quarter of growth in single-use sales offset declines in capital within our direct markets. Worldwide General Surgery revenue grew 30.6% year-over-year. The AirSeal system contributed $17.3 million to General Surgery sales in the quarter. Excluding AirSeal, worldwide General Surgery revenue increased 4.2%. Domestically third quarter General Surgery sales increased 32.1% and were driven by AirSeal. Excluding AirSeal, domestic General Surgery revenue returned to positive growth, increasing 2.4% year-over-year. Internationally General Surgery sales were up 27.7% and benefited from another strong contribution from AirSeal. Excluding AirSeal General Surgery sales increased 7.8%, driven by strength in single-use sales in both our direct and export markets. As discussed last quarter, we discontinued the sale of our Altrus tissue sealing device effective July 1. This caused a $400,000 headwind in the third quarter, and will be a $480,000 headwind in the fourth quarter. Worldwide visualization sales decreased 3% during the third quarter. Domestically third quarter visualization sales decreased 16.1% on a difficult comp as domestic visualization sales grew 41% in the prior-year period. International visualization sales were up 14.8%, driven by growth in our export markets. Now turning to other components of the income statement, adjusted gross margin for the third quarter excluding restructuring costs declined to 130 basis points year-over-year to 54.8% compared to 56.1% in the third quarter of 2015. Adjusted gross margin was negatively impacted by foreign exchange of approximately 80 basis points and mix in pricing of approximately 50 basis points. Based on the third quarter performance we continue to expect full year 2016 adjusted gross margin excluding restructuring costs within our previously stated annual guidance range of 54.5% to 55.5%. For modeling purposes, we are anticipating an approximately 50 basis point headwind to gross margin in Q4 due to production variances. As we noted on both our first and second quarter calls, effective January 1, 2016, we began to include certain regulatory costs such as foreign market product registrations as other product development costs within research and development. Historically we have reflected such costs in SG&A. For the third quarter these costs amounted to $700,000, and we continue to anticipate these costs will approximate $3.3 million for the full-year of 2016. From a historical perspective, these costs totaled $625,000 for the third quarter of 2015 and $2.5 million for the full year of 2015. On an adjusted basis, which excludes the impact of amortization but includes the accounting reclassifications for both periods, selling and administrative expenses for the third quarter were $73.7 million or 39.9% of total sales compared to $68.5 million or 40.5% of total sales in the third quarter of 2015. With regard to our full year adjusted SG&A guidance, given our year-to-date results and our current forecast for the fourth quarter, we reiterate our expectation for full year SG&A as a percentage of sales at the higher end of our previously stated annual guidance range of 38.5% of sales to 39.5% of sales. Including the accounting reclassification, research and development expenses for the third quarter totaled $8.4 million or 4.5% of total sales compared to $7.3 million or 4.3% of total sales a year ago. As discussed on our previous call, with the SurgiQuest acquisition and planned incremental investment, we expected a ramp-up in R&D spend in the second half of the year. Due to a slightly lower than planned R&D spend in the third quarter, we anticipate 2016 R&D expense at the lower end of our previously revised range of $34 million to $36 million. Adjusted EBITDA margin in the third quarter was 16.9% compared to 17.9% a year ago. The unfavorable impact of foreign exchange reduced third quarter 2016 EBITDA margin by 130 basis points. Please see the schedule in today’s press release for detail on the margin calculations. Turning now to a discussion of our income tax rate, our adjusted effectively – our adjusted effective quarterly tax rate decreased to 29.3% compared to 33.9% in the third quarter of 2015. The rate this quarter reflects benefits recorded in connection with the 2015 tax return finalization process, which was completed during the third quarter, and the current R&D credit, which was not yet extended in the third quarter of 2015. The tax return finalization benefit was not in our previous forecast and had a $0.01 favorable impact on EPS. For the full-year we now estimate non-GAAP tax rate of between 31% and 31.5% compared to our previous guidance of approximately 32%. Our diluted net earnings per share on a GAAP basis were $0.26 compared to diluted net earnings per share of $0.32 in the third quarter of 2015. As we previously discussed and as outlined in today’s press release, we exclude the cost of special items including acquisition costs, restructuring costs, the gain on the sale of facility and debt refinancing net of tax as well as amortization of intangible assets net of tax in our calculation of adjusted diluted net earnings per share. Excluding the impact of these items, our third quarter adjusted diluted net earnings per share were $0.41 versus $0.45 in the prior-year period. Looking at the balance sheet, our cash balance as of the end of the third quarter of 2016 was $26.9 million compared to $23.3 million at June 30, 2016, and $72.5 million as of December 31, 2015. Accounts receivable days were at 66 days as of September 30, 2016, compared to 64 days a year ago. The inventory balance was $188.5 million compared to $179.9 million at June 30, 2016, and $166.9 million as of December 31, 2015. Inventory days at quarter-end were 192. As the fourth quarter is typically our strongest sales quarter and the third quarter is our weakest sales quarter, our normal trend is an inventory increase from June to September. On a year-to-date basis approximately half of the inventory increase is due to AirSeal, with the majority of the remainder due to new products and field inventories. Long-term debt at the end of the quarter was $490.2 million versus $508.6 million as of the end of June, 2016. Now turning to cash flow, cash generated by operating activities totaled $25 million for the third quarter of 2016 compared to $13.7 million a year ago. Currency rates have a significant impact on our financial results, so I’d like to provide an overview of this area. Similar to many of our peers, we have a hedging program in place in which we’re able to hedge the cash flows from our foreign operations. This does not, however, eliminate all the foreign exchange fluctuations. Approximately, 28% of our world-wide sales are subject to foreign currency exposure, which are the direct sales portion of our international sales. For the direct market, the majority of our foreign currency exposure is represented by four primary currencies. The Euro represents approximately 29% exposure, the Canadian dollar approximately 27%, the Australian dollar approximately 16% and the British pound approximately 10%. To be clear, our guidance for revenue earnings per share on a reported basis already contemplates the impact of foreign exchange, including the gains and losses associated with our hedging program. Constant currency revenue guidance, as always, excludes the impact of any hedging activities. Finally, as described in today’s press release, there is no change to our previously issued financial guidance. We continue to expect 2016 constant currency organic sales growth in the range of negative 1% to positive 1%. Also based on foreign exchange rates as of October 21, 2016, we continue to anticipate the negative impact of foreign exchange for the year in the range of $17 million to $19 million, however, we now expect this foreign exchange impact will be at the high end of this range. Additionally, we continue to forecast sales related to the SurgiQuest acquisition in the range of $52 million to $67 million, but given year-to-date performance of AirSeal, we now anticipate the full-year contribution from SurgiQuest will be at the high end of this range. We continue to expect 2016 reported sales in the range of $757 million to $767 million, which represents growth of 5.3% to 6.7% over reported 2015 revenue of $719 million. Adjusted diluted net earnings per share are still expected in the range of $1.83 to $1.93. The adjusted diluted net earnings per share estimates for 2016 exclude the cost of special items, including acquisition costs, restructuring costs, the gain on sale of facility and debt refinancing, which are now estimated in the range of $19 million to $21 million net of tax, compared to the previous range of $21 million to $23 million net of tax, and translates into approximately $0.68 to $0.75 per adjusted diluted share. Additionally, these estimates exclude amortization of tangible assets, which are still estimated in the range of $12 million to $14 million net of tax, or approximately $0.43 to $0.50 per diluted share. And now I would like to turn the call back to the operator for Q&A.
Operator: Thank you, sir. [Operator Instructions] We ask that you please limit yourself to one question and one follow-up, then fall back into the queue. Our first question comes from the line of Kristen Stewart of Deutsche Bank. Your line is open.
Kristen Stewart: Hi. Good evening. Thanks for taking my questions.
Curt Hartman: Good evening, Kristen.
Kristen Stewart: And congratulations on getting back up into positive territory. Just I guess the first question is as you’re looking at the businesses today, it looks like you’re getting some level of stability. I guess where do you feel – I guess where do you feel in terms of getting that U.S. Orthopedics business kind of back on track? And is that really the risk that you see as you look out to 2017?
Curt Hartman: I think clearly U.S. Orthopedics is not where we want it to be. And it’s a couple factors right now. One is, obviously as you know, the U.S. orthopedics market is very competitive and we have a very dated product portfolio. And we’ve been working since day one to reinvigorate that product portfolio. We’ve done a few small things with tuck-in acquisitions. The most substantial thing is the recently released Edge platform, and we’ve got a few other small things that we’re working on and hope to get out the door here in the not-too-distant future. And then in addition to that was the people side of revamping the marketing team and getting R&D lined up with a very focused list of projects and priorities. And part of the increased R&D spend that we’re talking about initiating is accelerating some of those efforts within orthopedics. So I think number one, Orthopedics turn starts with the revamp of the product portfolio, which we’re working furiously on. Number two, there’s some operational issues. Some of that we talked about last quarter with the pipeline and taking our eye off the ball as we moved into more competitive accounts. I think we’ve seen a nice recovery on that as we look to some of the practices we put in play at the end of the second quarter into the third quarter. And I think we’ll see good news there. And then the final part is there’s anytime you do a turnaround, Kristen, there’s a lot of things you dig deep on and you say, we’re just going to stop doing that. And some of that is just the one-time headwinds that we’re sun setting this year. And we’re not going to call that stuff out. Those are tough decisions we’re making inside, but I think it does first and foremost starts with products and the people that we’ve put in place, and we’re working hard to get the products out the door. And so the risk to me is the product side execution and failure to get things out the door. And I’m going in confidence there with our launch of Edge, the way the teams launched that, the feedback we’ve had from the marketplace. The quality of the product on launch has been exceptional. Very, very few negative feedback in terms of customers, and as important the sales force has been very engaged by it. So growing in confidence daily, but ultimately the results will tell that story.
Kristen Stewart: Okay. And then just, I guess, looking at taking kind of the orthopedics aside looking at the rest of the business, we did see General Surgery doing very well. I guess just going through the puts and takes for 2017, obviously this is going to be one of the tougher things to turn around. But as we start to bring AirSeal into the base, are you starting to see also just kind of the pull-through with General Surgery as well?
Curt Hartman: Yes, so as part of the modeling of AirSeal, we believe that there is an opportunity with pull-through with the rest of the portfolio. I think I said it back when we initially did the transaction, that we thought that was more of a 2017 event, and that was largely because we had to cross-sell, or we had to cross-train sales forces. We had to integrate the organization. We had to also refresh some of the General Surgery portfolio, which we’re in the process of and we’ve got some of those products out. Mentioned the Helix platform on the last call. We’ve got a few other small things that are coming out. So refreshed portfolio, better educated sales force, larger sales force. So we think as we look at 2017, the cross-sell opportunity begins to materialize. The flip side of that is, and I think I said this on the last call, AirSeal has been such an innovative well-received product in the market that a sales representative could wake up every day of the week and spend all day every day on AirSeal. And that does come sometimes at the expense of cross-selling, and that’s a real high-class problem to have. But the team there is working real hard to make sure that when we’re in there we put the entirety of the CONMED bag forward and start generating the cross-sell opportunity. I think with each passing day we’re getting more confidence that, that is in fact going to happen.
Kristen Stewart: Okay. Thanks very much. I’ll jump back in the queue.
Curt Hartman: Thank you.
Operator: Thank you. Our next question comes from Richard Newitter of Leerink and Partners. Your line is open.
Richard Newitter: Hi. Thanks for taking the questions. Curt, I wanted to start off on U.S. Ortho. Tell me if I’m mischaracterizing kind of the trend from last quarter. I thought last quarter the capital kind of was the piece that was a little bit more problematic. Single-use was not as bad. Am I hearing correctly that capital kind of, the capital piece improved but the single-use was what offset to the negative?
Curt Hartman: Yes. So the way to think about U.S. Ortho, there’s a couple key product lines within U.S. Ortho. There’s the capital, which is defined by the power tools both large and small. There’s the pure sports medicine business, the anchors, whether that’s shoulder, knee, or hip. There’s the arthroscopic resection business, which is both single-use as well as capital, but that capital is traditionally placed. And then there’s MTF. The way to think about the four segments is MTF has had a couple good quarters now. There’s been a lot of focus placed on MTF and restoring operationally the processes around MTF in tissue. Feel good about where that’s at. We had a big gap in capital on the power side in the second quarter. We recovered some of that, a little better performance here in the third quarter. More we can do there. The resection piece of the business has been a drag on the company for a number of years, and we’re working furiously from a new product standpoint to correct that. But there’s no quick fix there, Rich, and that one continues to weigh on the business. And if you just think about the history of the Linvatec brand, the resection business was a big part of this business. So it’s a big number under a lot of pressure, and we’ve been working on this to try to turn this around. And we just can’t get there quick enough right now. But a lot of effort’s going into that as we get to the end of this year and into next year. And then the underlying sports medicine business, the anchor business has been performing admirably for a number of quarters now going back into 2015, and continues to perform well. And so that one in MTF are kind of the positives. The resection business, the biggest piece of the business is really under pressure, and capital has been a little bit up and down. So the resection business is really that single-use pressure.
Richard Newitter: Okay. So that’s it. So maybe we can expect a little lumpiness until you kind of hit your stride across all of them. But going back to General Surgery, because I was – nice job on getting that acceleration both U.S. and O-U.S. I just wanted to piggyback of Kristen’s question on the cross-sell opportunity or the pull-through opportunity with SurgiQuest. Do you have, can you describe the incentive programs that you have in place for the sales force to potentially incentivize a more broad portfolio to sell? What can you do to ensure that they do sell across the entire portfolio?
Curt Hartman: It’s a fair question, Rich, and it’s one that the local management teams deal with regularly. The best way to incentivize a sales force is a straight commission plan, and in the U.S. that’s exactly what we have. Outside the U.S. it’s a little bit different, varies by geographic location. But in any given quarter, there can be incentives created to focus on new products. And so if you think about the Helix platform that we showed at SAGES earlier in the year and have been working to release on a global basis, we can incentivize specific to Helix outcomes to start motivating people to cross-sell that item with a little extra financial incentive. And that’s just an example. I don’t want to imply that we’ve done that. The best way to generate cross selling is to hold people accountable for the portfolio versus a single product line. But again, selling AirSeal and the demand on AirSeal, it’s a great problem to have. It’s a high margin product, and AirSeal gives us access to a lot of customers and I’m just confident that over time those customers who typically historically have not bought from CONMED are going to give us an opportunity by virtue of our presence there with AirSeal and all the other necessity items we can bring to that party. So part of it is some short-term incentives. Part of it is just getting into accounts we’ve not had historical presence, and it takes a little more time to get the cross sell out of those. And part of it is just pyre straight up management attention and holding people accountable for selling the entirety of the bag, and that is not a U.S. comment, that is a global comment.
Richard Newitter: And Curt, if I could just one more on the General Surgery distributor businesses, the O-U.S. distributor businesses. You saw that grow to positive growth territory, is that what we should expect for this business going forward now? And then your guidance had assumed no pick-up in that business, and you left your full year guidance, organic guidance unchanged. If that continues should we consider that up side? Or sis that more of a base to base at that point?
Curt Hartman: So the comment was that our international export business which is both general surgery and orthopedic, first positive quarter in a long time. So, that was really positive news for us, and we allied out some of the key countries that participated, Japan which you know had been a problem in the first quarter, and America which had been a problem as long as I have been here. I think that the positive outcomes in our export business are direct results of the incentives we started really in the second quarter last year where we changed the management structure, started focusing on the bigger export market distributers, being better partners with them, clinical medical education and really kind of narrowing those people who could sell our product in those respective markets we would put a better management focus on it. So we have got a positive quarter here in the third quarter. I don’t want to get a head of ourselves, one quarter does not a trend make, Rich. We think it is a really good start and I hope in 90 days on the next call, we can tell you that it has continued. I just have been a little presumptive of us to move guidance forward based on one quarter, but we liked what we saw in the third quarter out of our export business.
Operator: Thank you, our next question comes from the line of Matthew O’Brien of Piper Jaffray. Your line is open.
Matthew O’Brien: For taking our questions, just to start with on AirSeal another really, really strong quarter, I think the best growth rate we have seen since you acquired that asset. Can you give us a little bit of a sense of where that strength is coming from, be it new accounts, existing accounts maybe a split between those two buckets? Even look at the high end of the guides that you are pointing everybody towards for AirSeal in Q4, that would assume a fairly modest sequential improvement in sales there, which we haven’t seen out of that asset so far, so, is that just a high level of conservatism? Or is there something that really should be called out here in Q4?
Curt Hartman: Let me try to take those in order. The growth is driven by a combination of both existing customers, and recall that SurgiQuest built this business in the robotics space, and we still have a lot of runway to go in robotics. So we continue to call on those accounts, which would principally be a U.S.-focused effort, that have the intuitive surgical robots because we think we’re a real value-added play in that space. So there’s a lot of runway there. So it’s a combination of expanding the usage where we already have the platform, but it’s a combination of acquiring new accounts. In addition, the technology has really broad appeal from a procedure enablement standpoint, oncological procedures, general laparoscopic procedures as we start talking about the clinical benefits of the technology. So there is a component of the growth that is new customers in new procedures as we expand to the broader laparoscopic market. In terms of the guidance, we guided $0.62 to $0.67. We moved that up after last quarter. We’ve had a couple of really good quarters here. We’re excited about the enthusiasm globally for the platform. And we know that sales forces are driven to hit quotas, and when they get close to quota they start thinking about next year. So we’ve taken what I would call a middle-of-the-road approach here. We think there’s lots of runway here, but I’ve also been around the industry long enough to know how year-ends work with sales forces that have quotas and businesses that have quotas and they tend to think about the future periods as well. So I think we’ve got a good asset here. I think we’re very excited to have it under the CONMED umbrella, and I think our customers are excited that we’ve been able to provide broader coverage, and we see good things ahead here.
Matthew O’Brien: Helpful. And then as a follow-up and, Curt, you kind of alluded to this a little bit in your commentary, but with the growth coming for AirSeal on the robotics side of things, and as I looked at the Q3 results it looked like you started to get a bit of the pull-through benefits in your General Surgery business. But as you’re really targeting robotic accounts and those are areas where there’s two large incumbents that are being used in a lot of those cases and then through to itself is developing products there, dose that limit your pull-through opportunity if you are seeing too much growth in that business on the robotics side?
Curt Hartman: No, because some of the big incumbents and what they offer, there’s a lot of focus on the cut and seal market, which we stepped out of at the end of the second quarter. We have a lot of other what I would call procedural necessity items that candidly are not the focus of the big incumbents. So we think we have an offering there that still is applicable. Second, the real big opportunity, if you go back to some of the slides we put out when we acquired it are in the broad laparoscopic procedure base outside of robotics where there’s millions of procedures done a year. And we think there’s a big play for all of the CONMED endomechanical and energy platforms in those procedures. And that’s the real play. And then longer-term there’s the clinical benefit of AirSeal and the insufflation pressure, the lower impact approach that we feel like we can really advance here and the team’s working on to get out in the future period. So I think the pull-through story still holds pretty well as we look to the future.
Matthew O’Brien: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Mike Matson of Needham & Company. Your line is open.
Mike Matson: Hi. Thanks for taking my questions. I guess just sticking with the pull-through theme here; I have a question about Edge in that regard. So to what degree do you think the Edge product can help you win some new customers and maybe pull-through some of the other Orthopedics products? And to what degree are you focusing on non-CONMED customers versus your existing customers with the launch of that product?
Curt Hartman: It’s a great question, Mike. And I would just remind everybody in the world of sports medicine, CONMED was last to the party with an ablation technology. So every ablation dollar is a new dollar for us, number one. Number two, as a big resection company, the absence of an ablation platform puts a big bulls-eye right on us. So the fact that we now have ablation and resection should actually help slow some of the downward pressure in our resection business because we now have a comprehensive offering and are not inviting the competitors to come in and pick off a single resection portfolio, they’ve got to go after a much broader portfolio. So there’s a couple benefits there. And then to your last question about can we go after resection and use that as a platform to get into some competitive accounts, I absolutely think that’s a potential. I don’t think initially that is how our global sales teams will be running. I think they’ll be going after all the accounts that are using CONMED’s resection devices, every one of which was using a competitive ablation technology, and they’ll say we can now round out what you’re doing. You can go to one supplier for both resection and oblation. Number two, we’ll start looking at competitive accounts and trying to leverage our technology in there. So we’re excited. I said this many, many times, it was CONMED’s number one new product launch priority. It was long in the making. I’m thrilled that we got it out the door, and I’m thrilled that we were able to affect a global launch absent a few markets we’re waiting on regulatory approval. And knock on wood, the feedback has been consistent and favorable. And we’re earning trust with customers and, candidly, we’re earning trust with our sales force because it had been so long in the making. They have a right to be skeptical, but I think with each day and each customer evaluation they’re getting more and more confidence.
Mike Matson: Okay. Thanks. And then I seem to remember when you acquired the AirSeal product that there was some kind of gross margin opportunity there. I think it was maybe had to do with bringing the manufacturing in-house or something along those lines. So is there an opportunity to improve gross margins on that product somehow? And is there some kind of mix benefit just as that grows more rapidly than some of your other more commoditized products?
Curt Hartman: So, Mike, the SurgiQuest product is currently manufactured on the outside. And this year we talked about targeting a gross margin between 58% and 62%, and we’re currently at the high end of that range. Right now we think there’s opportunity to take the margin up simply by selling the product effectively. And right now the plan is not to do anything dramatic from a manufacturing standpoint. We want to enjoy the sales growth.
Mike Matson: Okay.
Curt Hartman: Mike, I should add, the supplier has been or the provider has been with SurgiQuest from the beginning and they have been a very good partner and then as volumes have increased, they have shared the benefits with SurgiQuest that contract benefit has in order to comment through the acquisition. So as volumes have increased, they have been a very good supplier in terms of partnership with us and sharing some of the increased volume benefit. So it’s been a good partnership nine months in.
Mike Matson: All right, thanks. And then just finally, I’m glad to see the R&D spending going up, so I guess one, where is that going, is it kind of spread evenly across the different segments of the business? And then two, how quickly can we see some of the fruits of that additional spending in terms of new products and so forth.
Luke Pomilio: Sure. I would just remind everybody that last quarter’s call, I noted that our previous Head of R&D had retired, we were fortunate that Kurt Azarbarzin, the Founder and Former CEO of SurgiQuest and one of the most innovative people I’ve ever had the pleasure of being around in this industry had accepted our offer to step in as our Vice President of R&D and Chief Technology Officer for Conmed Corporation. So that happened in early July and since that time, Curt has been working with all of our commercial leaders and all of our R&D teams and really helping to drive a process, a harmonized process number one. Number two really helping to drive focus with the commercial leaders in the marketing leaders what are their top priorities and how do we help these things get through the process faster with the same high quality expectations that we have for all of our products. And then number three saying, what is the wish list if we’re able to enhance R&D investment, how would we accelerate and in what priority? So as you might imagine in the third quarter we started that review of accelerated spending and we initiated some accelerated spending around our Orthopedics business, which I think I mentioned earlier and some R&D priorities. Now I’m not going to get into timing on those, but R&D for our Orthopedics business I have said typically has a gestation period of anywhere from 12 months to 36 months depending on the type of item. So some of that work was initiated and that work will continue. And then we also have a list in general surgery that we continue to scrutinize and would like to be able to fund with additional resources the P&L allowing. So right now some dollars have been cut loose for Orthopedics and we’re looking at General Surgery, though General Surgery as pretty good pipeline as it is both with AirSeal and with some other items we’ve put out, but always want to do more in the innovation front. And I’m particularly pleased if I look at the contribution from new products, two years ago, we really did not have a freshness index. We now have a growing, evolving, freshness index as we look at the aging of the new products versus the old products and the contributions they are making. We actually have measurable contributions from new products in our quarterly results, which is encouraging and exciting to see.
Mike Matson: Thank you.
Operator: Thank you. Our next question comes from the line of Matt Mishan of KeyBanc. Your line is open.
Matt Mishan: Yes. Thank you very much for taking my questions.
Luke Pomilio: Hi, Matt.
Curt Hartman: Hi, Matt.
Matt Mishan: Hey Luke, on the gross margin, could you walk through some of the moving pieces of the year-over-year change? I think the first half of the year you saw year-over-year improvement this quarter even with the better sales growth, it declined a little bit.
Luke Pomilio: Yes. So the moving pieces are for the entire year, we’ve had negative currency impacts on margin. So it was about 80 basis points this quarter. It’s been about 100 basis points on average for the first nine months. We had fairly easy comps in the first half of the year, because during the first half of 2015, we had a lot of unfavorable manufacturing impact running through our numbers due to manufacturing volume. Q3 and Q4 are more of an apples-to-apples comparison with the exception of currency. And the one thing I called out was if you look at the first three quarters, we averaged about 55% and that moved up and down a little depending on mix and pricing. As I’m looking at the fourth quarter, mix and pricing we’ll see how that turns out, but I’m going to have a headwind of about 50 basis points due to some manufacturing. It’s actually not unfavorability, we’re just less favorable than we were a year ago.
Matt Mishan: Okay. And then as AirSeal grows and becomes a larger piece of the sales, how should we think about the impact on margins?
Luke Pomilio: Well, AirSeal is made as a contract manufacture, so it doesn’t help us from a production standpoint. However, AirSeal’s margins are accretive to our overall margins. So it can only help in that regard.
Matt Mishan: Okay. Then last question for me, I guess on visualization, it really doesn’t come up that much, how important is it for you to still be in visualization? And is the scenario where you want to be spending dollars and time to be more competitive?
Curt Hartman: It’s a fair question. I think I mentioned on the first quarter call as, we sell less in video than we do in AirSeal. And that is an unfortunate position, because the Linvatec visualization system was, is a hallmark of creating the visualization industry and it just fundamentally suffered from a lack of innovation and commitment overtime. And the IM8000 camera that came out, call it the fourth quarter of 2014, first quarter really of 2015 was the Company’s first new video platform in seven years, which this is a market demands innovation every 24 months to 36 months. So customers and our selling organizations have us a bit in a penalty box because it takes a lot of commit to visualization in the marketplace, and they want to see that we’re as an organization committed to it. I’m balancing that against it is a high-cost R&D category, and we have a lot of product areas that need refreshing right now, and we need to put our dollars in piles that get the quickest rate of return. So we’re still working in visualization, but obviously, visualization quarter-over-quarter is not going to move the needle for us, in terms of the long-term prospects, at this point in our company’s evolution. How important is visualization for us? Everything we do is minimally invasive. In arthroscopic repair, you get into the joint space with a camera. Everything we do in general surgery is through a video camera, so it’s a very synergistic part of what we sell. That said, we’ve got a long way to go to recover our position in the marketplace. And it’s not going to happen overnight. So I don’t want to paint any rosy picture here. We’re working hard on it, but it’s got to come at the right investment level, and the right commitment, while we balance all our other priorities.
Matt Mishan: Okay. Thanks, Curt.
Curt Hartman: And, Matt, I’d be remiss if I didn’t say, I got tell you, I’m rooting for the Cubs against Cleveland, sorry.
Matt Mishan: It’s balanced for me.
Curt Hartman: There you go.
Matt Mishan: We won with the Cavs already, so...
Curt Hartman: Touché. Latif?
Operator: [Operator Instructions] We have a follow-up question from Kristen Stewart of Deutsche Bank. Your line is open.
Kristen Stewart: Hi. Thanks for taking the follow-up. I’m rooting for the Cubs to my friend, the assistant general manager. So I hope they win.
Curt Hartman: There we go.
Kristen Stewart: Anyway, he’s my friend from high school. Follow-up, I guess, for Luke. I guess just, I know you’ll obviously give guidance, I would assume, in January at some point, when you, I guess, release your fourth quarter results. But just kind of looking at 2017 and just kind of thinking about it, more from a very high level – how should we just think about how the model kind of builds out now that we’re going to be anniversarying SurgiQuest, and we’ll have, obviously, the positive, I’d assume, margin kind of mix from that business, growing clearly faster than the other businesses? We’ll probably still have a little bit more pressure on the U.S. Orthopedics franchise. How should we just think about how, from a directional standpoint, some of the P&L lines should shake out?
Luke Pomilio: Yeah, so, the way I would think about it, Kristen, is, on the topline, we have some good trends now going with General Surgery. Certainly have our challenges with our domestic orthopedic business. But probably the biggest difference with 2017 and 2016 as SurgiQuest sunsets. So the growth rates, I think all the numbers are out there, so people can do the math as to what the pro forma growth rates are this year. So I think you need to take that into account as you think about 2017. I think from a gross margin standpoint, I would expect stability. I think we got some favorability out of SurgiQuest. I think as you know, we completed the closure of our Denver Facility at the end of last year. We’re benefiting from that right now. And as we’ve announced, we’ve brought in a new Executive Vice President of Operations and Quality, and he’s focusing on what the next round of cost savings activities will be, but I think that right now that’s in the planning phase. So I think there’s good things to come, but it’s probably farther out than 2017. I think from an SG&A perspective, I think it’s all about sales growth for us. We’ve made a lot of investments and for that matter. We’ve done a lot of cuts. But there, as we’ve talked about, we’ve reinvested money back in the business. We’re at a place where we don’t need to add a lot more structure. We need to put sales on top of that structure. So when I think about how the P&L will shake out, that’s what I think about. The other thing that we need to keep in mind is we do have a fair amount of debt right now. And depending what happens with interest rates that will have an impact on our results.
Kristen Stewart: Okay. All right. Thanks very much.
Unidentified Company Representative: Thanks, Kristen.
Operator: Thank you. At this time, I’d like to turn the call back over to Mr. Hartman for any closing remarks. Sir?
Curt Hartman: All right. Well, thank you, Latif. And I want to thank everybody for joining us a little bit later in the evening today. We appreciate your time, and we look forward to speaking with you on our next earnings call, which will be held on February 1 of 2017. Thank you, everybody.
Operator: Thank you, sir, and thank you, ladies and gentlemen. That does conclude your program. You may disconnect your lines at this time. Have a wonderful day.